Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:03 Thank you for standing by and Welcome to the California Water Service Group Fourth Quarter and Year End and 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. . As a reminder today’s program is being recorded. 0:24 And now I would like to introduce your host for today’s program, Dave Healey, Vice President, Controller. Please go ahead.
Dave Healey: 0:30 Thank you, Jonathan. Welcome everyone to the 2021 year-end and fourth quarter earnings results call for California Water Service Group. With me today are Martin Kropelnicki, our President and CEO, Thomas Smegal, our Vice President, Chief Financial Officer; and Paul Townsley, our Vice President of Business Development. 0:56 Replay dial-in information for this call can be found in our yearend earnings release, which was issued earlier today. The replay will be available until April 27, 2022. As a reminder, before we begin, the company has a slide deck to accompany the earnings call. The slide deck was furnished with an 8-K this morning and is also available at the company's website at www.calwatergroup.com. 1:30 Before looking at this quarter’s results and year end results, we would like to take a few moments to cover forward-looking statements. During the course of the call, the company may make certain forward-looking statements. Because these statements deal with future events, they are subject to various risks and uncertainties and actual results could differ materially from the company's current expectations. Because of this the company strongly advises all current shareholders as well as interested parties to carefully read and understand the company's disclosures on risks and uncertainties found in our Form 10-K, Form 10-Q, press releases and other reports filed from time-to-time with the Securities and Exchange Commission. 2:25 I'm going to pass it over to Tom to begin.
Thomas Smegal: 2:28 Thanks, Dave, and good morning, everyone. Happy to be with you to talk about Cal Water – California Water Service Group's results and expectations going forward for 2022. I'm going to start on slide 5 of the slide deck and run through the financial results for the full year. And then we'll pass it around as the slides go by. I want to spend a little bit more time on this first slide than I normally do, because there's a couple of new things in here, or just to identify for the group. 3:04 First, our operating revenue was down slightly for the year and yet the net income attributable to the company was up $4.3 million. That's certainly good news. And we're proud of that result. One thing that you might take from that, you might scratch your head a little bit. The reason for the lower revenue and higher net income is that through the California regulatory process, we are returning to customers excess deferred income taxes, and that shows in the customer rates and therefore the revenue but also in lower income tax expense. So you'll notice if you look into the financials attach to the press release, or into the 10k that we have lower income tax for the year. 3:46 The other thing that you'll notice here is I mentioned net income attributable to CWT. That is because we exclude the impact of the minority interest in our BVRT entity that we co-own in Texas. And so you'll see if you read the 10K a lot of disclosure and description around that. But this is the net income attributable to CWT and you'll continue to see that language both in the press release and in our SEC filings on a go-forward basis. On earnings per share basis, we were down very slightly for the year from $1.97 to $1.96. And again, the reason for the divergence between the net income being up, the earnings per share being down is that we did issue 3.3 million new shares here in 2021. As part of our ATM program, we'll talk a little bit more about that later on in the slide deck. 4:45 Our financial results for the fourth quarter, which is on slide 6, we did see a decline in net income and earnings here for the fourth quarter. This is primarily due to the impact of reduced unbilled revenue. We talked about this both in the second quarter and on the third quarter calls, where the company had experienced a much higher than normal unbilled revenue accrual in the second and third quarter. And that's come back down to normal for the end of the year. And so that is really impacting what you see for the fourth quarter results. So that's, that's the primary driver. We can get into that with the bar charts in a few slides. 5:28 Next, I want to turn it over to Martin to recap.
Martin Kropelnicki: 5:32 Thanks, Tom. Good morning, everyone. Thanks for joining us this morning on what's a very busy news morning. We appreciate you taking time to be here today. As Tom mentioned, we had a very solid year and the base of dealing with the continued pandemic dealing with the drought and a lot of regulatory activities in particular in the state of California where we have open the cost of capital proceeding and our 2021 general rate case. 5:58 During the year, we had total infrastructure investment of $293 million. That's down slightly, but we still weren't – we were basically happy with the outcome given the continuation of COVID and also some of the supply chain issues that we've all seen heard and read about. Certainly we're not immune to those supply chain issues and that it has an effect on our ability to get some capital in the ground. Additionally, we continue to act on our growth opportunities adding our Texas subsidiary. And we'll talk more about that in a little bit. And of course, we've continued on our quest to improve our ESG efforts, including published our first ever ESG report. 6:38 Additionally, add a state of California appropriated from the pandemic relief Bill the federal bill monies for utilities for risk management and in February, we received a check for over $20 million. That's to be used for offsetting and helping our customers reduce their debt associated from their water bills with a pandemic. So we're in the process of applying those funds. So overall from a net income per spot – from an EPS perspective, we were down at penny a share. But as Tom mentioned, we issued 3.3 million shares for ATM program. So our net income for the first time in our history was over 100 million, and we ended the year $101.1 million. And ultimately, that gave us some room to increase the dividend, $0.08 or 8.7%, from $0.92 a share to $0.01 a share for 2022. 7:32 Okay, and then I'm going to look at the fourth quarter highlights on slide 8. As I mentioned, our net income decreased by 12 million to 3.5 million for the quarter. And the major driver for that was a 9.2 million decrease in our accrued unbilled revenue. Just to give you an idea for the full year or unbilled revenue decreased $0.5 million, so it's very close to zero change for unbilled revenue for the year. But we obviously had had a lot of swings during the year, both the second quarter and the third quarter and then here at the end of the year. So not unexpected full year result for unbilled revenue. Our rate increases had added 2.1 million, we did have increases in depreciation and maintenance costs that increase expenses by $3.7 million and then the other driver, which is a bit outside of our control, we had a $2 million reduction in the unrealized gains associated with our non-qualified retirement plan assets as compared to the prior year. 8:34 You can see these things on the earnings bridges, on slide 9 and we have the earnings bridge for 20 to 21. Again, very similar results for the year, we have rate relief and the impact of reducing our bad debt expense associated with the receipt of the state funding for risk management and then the other factors tend to be the normal operating expenses for the company that are offsetting that that rate really. 9:02 On the earnings bridge for the quarter on slide 10, you'll see the big impact, there is a change to the unbilled revenue and the mark-to-market as well. Next, I would like to focus on 2022 On slide 11, and just walk through a couple of things that the analysts and observers of the stock should note. We talked about these last year as well. But just to run through some kind of major factors. In 2022, we have an adopted rate base in California of 1.84 billion and that gives us an adopted net income in California of $90.5 million so that's what the commission would want us to earn on a normal basis, our other states have about 110 million of rebates, and you'd expect them to earn in line with their rebase. Because this is the third year of the California GRC process. In 2022 the new rates from the new case wouldn't be effective until 2023. 10:04 And there are all of the things that go along with the third year of the general rate case the of the expenses that were projected 5 years ago and in the normal course of things, those expenses change over time and that usually provides some pressure to the company. As you look at earnings in the third year of the California rate case. In particular this year, we have inflationary pressures on a lot of aspects of the business, that may impact us as well in 2022. So we need to be careful and watch for that. We did have a significant step rate increase for 2020 to $21.7 million general rate increase and part of that was associated with their recognition of inflation. So the Commission's process there gave us a higher step increase due to the fact that recorded inflation had been higher. 10:58 The reduction in the cost of debt that we experienced – that we've proposed to the California Commission as part of the cost of capital case, that wasn't challenged by the rate payer advocate and just by itself, lowering the cost of debt in our cost of capital from 5.51% to 4.23% would reduce revenues by $11 million. When rates become effective in our cost of capital case. The thing that Marty mentioned a little bit earlier, our reduction in bad debt reserve this year, that was 4.6 million reduction in bad debt reserve associated with the $20 million that was received from the state of California, we don't believe that it's likely that additional funding would be available and continue to reduce that bad debt reserve. So that is not likely to repeat in 2022. 11:55 And then just as always a reminder that our mark-to-market is a variable that we don't always know, in the 2021, that increased $3.8 million in 2020, that had increased $4.3 million. So in both years, the mark-to-market was a benefit to the company and then the unbilled revenue, we saw a decrease in earnings of $1.3 million in 2021 and $0.8 million in 2020. So that's been a relatively neutral factor out there. But that can change from time to time. So just to be aware of that. 12:33 So now I'm going to turn it over to Paul to give you an update on the California general rate.
Paul Townsley: 12:40 Thank you, Tom. It turning to slide 12 in your deck. We're making good progress on our California general rate case, which we filed last July 1. Just as a reminder, we are requesting $1.02 billion in capital investment, during the years 2022 to 2024 and of that $913 million, our new capital projects. Two of our larger categories of investment included in this rate case, is a continuation of our pipeline replacement program we've been doing that for the last 3 rate case cycles, and also a continuation of our wildfire hardening program, given the wildfires that California has experienced in the past few years. 13:34 This rate case filing also anticipates the loss of our decoupling mechanism. So in our filing, we've sought to mitigate this loss by refining our sales forecasts. Also our mix of relative production sources that we use, and a new rate design that includes more revenue in fixed monthly costs and customer bills. Earlier this year, we received the testimony from the California Public Advocates in the rate case, and we are currently preparing a rebuttal. On those issues in which we believe that they are wrong. The rate case is scheduled is still on schedule and is anticipated to have a commission decision before the end of this year with new rates going into effect January 1, 2023. 14:37 With that, Tom, I'll hand it back to you on the cost of capital update.
Thomas Smegal: 14:41 Thanks, Paul. So the other proceeding that's going on in California is our cost of capital filing. On May 1 of last year, we filed for review of cost of capital that's effective for the years 2022 through 2024. We had requested an ROE of 10.35% on the same capital structure 53.4% equity capital structure and a cost of debt, which I mentioned earlier, which was reduced to 4.23%. 15:09 The Cal advocates testimony came out late January, early February, and that recommended a 7.81% ROE on a 49.44% equity capital structure and agreed with our cost of debt analysis. Our rebuttal will be filed here in March just in a couple of weeks. We anticipate a final decision in the case in the third quarter of 2022. And just to add on to that, we've done a lot of financing activities over the course of the last few years and particularly in 2021 and some of the big accomplishments for the company. We're obviously selling 280 million in first mortgage bonds that was done in May and selling 197.9 million of stock through the ATM program throughout the year. So a lot of financing activity. We are in part of our rebuttal, pointing out to the commission and to the rate payer advocate that the company has made a lot of investments, the company has done a lot of financing, and it is really important to keep that equity capital structure up. The company has a clear plan to get to its equity capital structure as was proposed throughout the period of 2022 through 2024. However, at the end of the year, the end of 2021 we see that Cal water has a 48.5% equity and obviously through additional financing over the period of 2022 through 2024, we expect to raise that equity level to be in line with our request. 16:51 Next, I'm going to turn it over Marty to talk about the drought.
Martin Kropelnicki: 16:54 Great. Thanks, Tom. It's been an interesting winter, to say the least here on the West Coast. Some of you may recall, Governor Newsom in the state of California declared a drought emergency on October 19, 2021. We have had two major storms on the west coast that have been more what they call a cyclone storm or a bomb storm that brought kind of heavy rains and snows area but then they've gone away. So they tend to have these real intense periods of storms and it goes away. So despite the last storm that hit, the last part of the year, in Northern California, we have had no rain in January and February, which is now the driest record of January and February on record for California. So accordingly, our drought plans haven't changed. All of our districts are in a drought emergency. Remember, there's a 5 stage plan for the drought emergency that the state coordinates now. So we're on the same planning phases. So 6 of our districts are on a stage 2 drought, the rest of our districts are on a stage 1 drought. So we're going to continue to focus on water supply resiliency in all the districts our drought taskforce has continued to meet throughout the winter. 18:10 Obviously, we have our eyes on what happens over the last six weeks of winter here that we have and hopefully we get more rain and snow here in the March months. But we can't bank on that or bet on that. So we are continuing down our path with the drought emergency planning accordingly and while we hope for the best we always plan for the worst, and we will continue to do so as we march into spring of 2022. I'm going to hand it over to Paul to give a recap of our 2021 business development activities. Paul?
Paul Townsley: 18:45 Yes, thank you Marty. On slide 15, you will see a recap of our 2021 acquisitions. We were very busy in 2021. Finalizing a number of acquisitions while also prospecting for new ones. Our investments Texas continues to grow with a total of 2,500 customer connections at the end of the year. And we closed on our acquisition of couple of water and sewer in Hawaii last year, adding 1000 new customers and then earlier this year closed on Valencia Mesa Water in New Mexico, adding another new system in that state. 19:27 In 2021, the California PUC approved our CCN for a new service area of ours in Madera County, California. The service area is known as the Preserve at Millerton, and we expect our first new customers be added to that Greenfield system sometime later this year. On slide 16, you can see some of the other acquisitions that we are currently working on. In New Mexico just earlier this month, we received approval from the New Mexico public Regulatory Commission for the acquisition of the Animas Valley Water System which will add 2,000 new customers in that state. 20:13 In Hawaii, we're awaiting the Hawaii Public Utilities Commission approval of two acquisitions, HOH utilities on the island of Hawaii and Keahou utility on the on the big island together when approved by the Commission, these systems will add over 3,300 wastewater customers to our Hawaii operations. We have 2 small systems in California and Washington that we announced and are currently proceeding through the process of due diligence, regulatory filings and other closing processes. 20:54 And in Texas, we have added another new utility to our portfolio of our in our BVRT Partnership, which is known as the railyard utility and that will open up another new growth area for us in Texas. So that's the status of our of our business development. And I will turn this back over to Marty.
Martin Kropelnicki: 21:20 Thanks, Paul. I want to talk about our 2021 ESG accomplishments of which there were many. The last couple years as many of you know we have been very focused on the ESG components of our business and changing our business strategy to better incorporate ESG goals and objectives in particular around climate change, climate change mitigation, and climate change adaptation. First and foremost, we published our first ever ESG report that aligned with what SASB, and it was guided by the TCFD principles. We adopted four new ESG related policies including human rights, environmental sustainability, political involvement, and diversity, equality and inclusion. 22:06 We published our ESG framework, and it's in our proxy and in our 10k, that clearly shows there's board level oversight of ESG efforts from our nominating Corporate Governance Committee of our board of directors. We have officer level accountability through an officer ESG oversight committee and then we have subject matter experts within our company that has established the ESG working group that helped us set our goals and objectives. Yesterday with our board, we updated them on our climate change strategy, and particularly just completed a new climate change study. We have a 5.0 plan for our how we fit into climate change with our five goals as follows. We want to reduce our own and our customers contribution to climate change. We want to understand and plan for climate change impacts to our business. So not just mitigation, but adaptation to climate change. We want to ramp up collaboration, advocacy, both at the consumer level but also at the state and agency level, where we can have a broader impact on coordinating our efforts to dampen the effects of climate change on the environment. We want to set time bound goals and report on those goals, and we want to continue to mature our disclosures and how we communicate these goals to our stockholders, and an interested parties in California Water Service Group. 23:30 Additionally, we completed – recently completed a very robust ESG goal setting process that sets short-term and long-term objectives. Very proud to say that yesterday our board of directors, our compensation committee of our board of directors approved 5 ESG goals for our long term incentive plan. Our previous incentive plan had 1 ESG goal for so we're going from 1 to 5. So this is a long term incentive plan that will pay out 3 years from now, which aligns all the officer and department head goals keeps us focused on the same goals for officers and department heads throughout the companies in all 5 states. So there's a lot going on the ESG front of Cal Water, we got good accolades for the progress that we made in 2022. And we will be publishing our new ESG report here shortly in the month of April. So look for that to come out here shortly. And we look forward to talking about that in the future months in 2022 and beyond.
Thomas Smegal: 24:30 Thanks, Marty. On slide 18 and 19, we have just a slight update here to conclude the year 2021 with again $293 million of capital investment as shown on the CapEx slide and then if you flip to slide 19, but $1.95 billion represents the current adopted rate base of the company as a whole and confirming that number. The yellow bars on both slides on 18 and 19 reflect the ask in the California general rate case plus our expectations in other states for capital investment and rate base growth. So keep in mind that results may be different as we go through the regulatory process in California and in other states. But that is the current projection that we have. 25:22 And I'm going to turn it back to Marty to talk about our business priorities.
Martin Kropelnicki: 25:26 Great. On slide 20, we talked about our business priorities, but I want to briefly mention some management changes the company made effective January 1 of 2022 to help us achieve our goals and objectives. First and foremost, Ms. Sophie James was named Chief Water Quality Officer for California Water Service Group and all of our operating entities. Sophie has been our lab manager and she is promoted director of water quality. She is uniquely qualified to lead our water quality efforts within our company. She has a master's degree in analytical chemistry, and a BS in chemistry with a minor in Mathematics. She holds various certifications including laboratory management, water treatment and water distribution. 26:11 In addition, continuing our efforts to improve ESG sustainability Ken Jenkins was promoted to Chief Water Resource Sustainability Officer, and he will play a major role in our sustainability efforts and climate change adaptation. And Ken started with the company 17 years ago and community and governmental affairs. He was promoted to lead our drought response team and conservation team from 2008 to 2020 and did a fantastic job as you may recall we hit our reduction targets in the last drought of 25% across our service territories in the state of California. He was promoted to water resource sustainability director in 2020. Ken plays a major role in leading our sustainability efforts in the company as well as our planning for climate change and how we're going to adapt to those strategies. So I want to congratulate both Sophie and Ken on their promotions to being Officers of California Water Service Group and California water service company. 27:10 Additionally, we had some management changes, I want to talk about Elisa Wang. I was promoted to Vice President Facilities Fleet and procurement effective January 1, 2022. Elisa played a major role and obviously in our supply chain efforts and during the pandemic, well, we saw some third party suppliers struggle a little bit the company actually has done quite well. And the most important thing on the last couple years has really been making sure we have the right PP&E for all of our employees, and at least it's just done a fantastic job, making sure all of our employees have what they need to be at work every day during the pandemic because we have never shut down. Our employees have been at work 24 hours a day, 7 days a week, 365 days a year. 27:56 Additionally, Paul Townsley bought a pair of cowboy boots and agreed to move to Texas for us. So Paul, for the first time is not physically in the room with us. He's calling in from Austin, Texas. Paul, in his previous role, had Business Development as well as our Chief Regulatory Affairs Officer. But given how busy business development has been, and how well, Paul's team has done the last couple years, we've asked Paul just to focus on business development and we relocated him to Texas to lead our business development efforts. 28:30 Likewise, Greg Millman was VP of Rates for California is now VP of Rates in Regulatory Affairs for all of our regulatory operations in all 5 states or in other ways, it is for group what we'd say is group. So Greg took over what was the other half of Paul's job, which is managing our regulatory activities and rate case processes in all 5 states. 28:51 Additionally, Michelle Mortensen was promoted to Vice President, Corporate Secretary and Chief of Staff, helping me manage the company and helped me with corresponding with the board and coordinating board meetings and everything that goes on with a public company. So she was promoted effective January 1, 2022. So I want to congratulate Paul, Greg, Elisa, Michelle, Sophie and Ken on their promotions, as we set a course going into 2022. 29:20 Now, having said that, kind of what are our priorities for 2022, there are 6 things we are keenly focused on. First and foremost, we have the California general rate case, right, we want to try to keep that on track and get a successful outcome on that rate case. Number two, we have the California cost of capital and as Tom mentioned, that we're well underway on that, and we are responding to advocate comments right now and hope to have that wrapped up sometime mid-year. We want to continue our capital investment and continue to successfully navigate the supply chain challenges that we're seeing from some of our suppliers and continue to get that capital in the ground. 29:58 We want to respond to the California drought. Obviously, what happens in the next 6 weeks louder, profound effect on what the drought outlook is for the year for the state of California, we want to stay on top of that and be ready for any drought challenges that the company faces in 2022. And then lastly, we have – we want to continue to do our ESG make our ESG progress. As I mentioned, we have changed our LTI to encompass five LTI goals around ESG. We just finished our latest climate change study that we share with our board, and we will have an updated ESG report that gets published in April for our stockholders. So there is no shortage of our priorities in 2022. But these are the things that the company is going to be keenly focused on. 30:43 So in summary, as we look back on 2021, solid year performance as our net income for the first time exceeded $100 million. We're very happy with that earnings and CapEx we perform well despite the challenges of the pandemic and supply chain, another strong year of business development, which ultimately landed Paul in Texas. I'm sure he's polishing his boots right now as he stays on the line with us. And so we look forward to another continued year strong year from our business development team. And of course, we look forward to wrapping up the regulatory proceedings in 2022 and staying focused on the drought and our sustainability efforts to adapt to climate change. 31:21 So with that, Jonathan, we will open it up to questions.
Operator: 31:28 Certainly  Our first question comes from the line of Ben Kallo from Baird, your question please.
Ben Kallo: 31:43 Hey guys, thanks for taking my question. Hey, just maybe first on the unbuild revenue, Tom, could you just walk us through maybe how we should think about it for ’22, a little bit more, and then just maybe if you could just talk about the mechanics of it a bit too. So we better understand that.
Martin Kropelnicki: 32:05 Sure. So unbilled revenue as is accounting that we perform every quarter and actually do it every month, but for financial reporting every quarter. And what we're looking at is the customers who have used water and taken service from us but have not yet been billed. And that is always an estimate and what's called an accrual and so when we get to the end of the period, we accrue the number of days that have been unbilled multiplied by average, the average bill that the customer might have – might have had if they have been billed for that day. And what you see is over the course of the year, the unbilled revenue goes up, because the unbilled usage in June and in September is much higher than it is in December and in March. And so you have this curve that goes on through the year, where it's a relatively low value for unbilled revenue at the beginning and the end of the year and then a relatively high number in the second and third quarter. 33:14 Just going back and if you can look at this from our presentations, both in the second quarter and the third quarter, we had an extraordinarily high amount of unbilled revenue in June and in September and there's a couple of different possibilities for factors for that. One is, you look at weather, and you look at customer usage that occurs during that time. And so you're evaluating the average the potentially average bill during that that month and trying to put up an estimate for unbilled. 33:46 What we saw in December was, obviously it had rained quite a bit at the end of December, the bills came down, and that's where you seeing that number come down and the unbilled revenue will come down. So it was – it was definitely something that we highlighted. Again, if you go back to our earnings presentations in the second and third quarter, we knew that was high and we knew that that or we suspected, I guess, that would come down, because it always comes down at the end of the year. And so looking at ’22, you know, you can't tell what it's going to be in June and in September. But I do know that with a reasonable degree of certainty, by the end of 2022, that will not be a major factor in the company's earnings for the entire year. Because, in general, you're speaking about the same type of the weather at the end of December and every year, particularly in California, and the same number of unbuild days. And so that that really that's the way to look at it is these might be variations from fourth quarter, we certainly had pull into the second and third quarter of unbilled revenue this year. But ultimately, by the end of the year, it wasn't a factor and so hopefully that explains it.
Ben Kallo: 35:04 No, it does. Can we talk a little bit in depth about maybe Marty or Tom or Paul, about the new rate design around mitigating the loss of decoupling?
Martin Kropelnicki: 35:19 Sure. Paul, you want me to start or we're all equally provisions in this. So Paul, you start.
Paul Townsley: 35:28 Go ahead. All right. So what we have attempted to do is to take more of the revenue, and that we collect from customers that is typically been collected through the variable usage part of the customer fail and move more of that into the fixed part of a customer via what we call their monthly service charge. That would give us greater revenue stability in the face of variations in consumption. And over time, we've been working to increase that amount in all of our different service areas. And in this rate case, we've also attempted to increase that to – not to a significant amount, but to a higher amount. So that as sales vary from what was modeled in the rate case. The revenue will continue to be more stable than it has in the past, of course, with a decoupling mechanism, if there's variations in consumption relative to what was in the rate case, the decoupling mechanism compensates for that, or where the loss of that and where lots of that compensation, or our goal has been to increase the amount of revenue that is attributed to customers not with service charge.
Ben Kallo: 36:53 Got it. Make sense. And then, Tom, just on the, the capital structure? Could you just talk a little bit about that? So it looks like that. You can go, you're up to 49.44% equity, you're allowed or the higher?
Thomas Smegal: 37:11 No, yeah, so remember, we're just dealing with the rate, they're advocates testimony at this point.
Ben Kallo: 37:15 Okay, got it.
Thomas Smegal: 37:16 Or one party – or one party in this case, we had proposed a 53.4% equity capital structure, as we've had at the company for many years, adopted by the California Commission, they're coming in and saying, well, historically, over the last couple of years, we've been lower than that. And so that the commissioners should adopt a lower number. And what we're going to point out in our rebuttal testimony is that we frankly did all of that debt financing for the benefit of our customers. We issued $280 million of debt that at a very rare remarkably low rate, lowers the weighted average cost of debt for 30 or 40 years for these customers. And just the fact that for one year or two years, we had a little bit more debt in the capital structure than then was typical, that shouldn't be determined if to the to the commission that they should adopt a lower capital structure. 38:17 So we think we're going to be successful in that argument, ultimately comes down to what the Commission decides. But it's something – it's something to continue to watch.
Paul Townsley: 38:25 And Tom, I think the only I'm going to add if I did the math, right. You and your team, lower the average cost at almost 130 basis points, right, that is substantial. So as we go into the cost of capital settlement discussions, the cost of debts a pass through so we you know, there's room and authorized rate of return, which is the adopted cap structure, that equate to have a fairly substantial get back to ratepayers because we're not supposed to make anything on the dead side. So I give Tom's team huge kudos for acting when they did on the market to take advantage of those lower rates. And we did it on behalf of our customers. So we don't believe that commission should be punitive about that.
Ben Kallo: 39:10 Great, thank you, guys.
Paul Townsley: 39:11 All right. Thanks, Ben.
Ben Kallo: 39:12 Take care.
Paul Townsley: 39:11 Thanks.
Operator: 39:14  I'm not showing any further questions from the phone lines at this time. I'd like to hand the program back to Marty.
Martin Kropelnicki: 39:36 Great. Thank you, Jonathan. Well, everyone can look for our 10K to be on file later on today, we're in the finalization process and we'll sign off everything here this morning, once we hang up, so I will get on file. So look for that. As I mentioned, look for our ESG report to be published in April and we'll be sharing that and put that up on our website. And I just want to take a moment just to thank everybody for your continued interest in support of California Water Service Group. Hopefully, we're getting back to what is more normal environment as we wrap up 2 years of the pandemic and hopefully get back to a normal operating environment. So we appreciate your support and consideration of us, and we look forward to seeing everyone really soon. Thank you and have a good day. Bye, everyone.
Operator: 40:21 Thank you ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.